Operator: Good day and thank you for standing by. Welcome to the Scandinavian Tobacco Group Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Torben Sand. Please go ahead.
Torben Sand : Thank you. Good morning and welcome to Scandinavian Tobacco Group's webcast for the first quarter results 2025. My name, as said, is Torben Sand and I'm Director of Investor Relations and External Communications; and I am joined by our CEO, Niels Frederiksen; and our CFO, Marianne Rorslev Bock. Now please turn to Slide number 3 for today's webcast agenda. Niels will start the presentation by giving you a brief background on the adjusted financial expectations for 2025 that we communicated to the market yesterday before turning to an overview of the highlights of the quarter and an update on our key strategic achievements. He will then switch focus to an update on development in our core product categories. Marianne will take over with an overview of the financial performance in our 3 reporting divisions before turning the focus to key financial developments for the group, including an update on cash flow, leverage and capital allocation. After this presentation by management, we will of course conduct a Q&A session where we will be pleased to take any questions you might have. Before we start, I ask you that you pay special attention to our disclaimer on forward-looking statements, which can be found at the end of this slide deck. Please turn to Slide number 5 and I will leave the word to Niels.
Niels Frederiksen: Thank you, Torben, and welcome and good morning to everyone on the call. Yesterday, we released the interim report for the first quarter of 2025 and at the same time, we adjusted our financial expectations for the full year. In a moment I'll get back to the financial performance during the quarter, but let me start by giving more details to the adjusted expectations. Despite a slow start to the year in the first quarter, the underlying business trends, as communicated in the March results announcement, remain largely unchanged. Therefore, the adjustment of our expectations relates primarily to the weaker U.S. dollar as well as the consequences of the tariff increases on imported goods by the U.S. government, which were announced in April and the expected related impact. For STG, the increase in our cost base driven by the tariff increases is primarily relevant for our handmade cigar business as we import cigars from the Caribbean and sell them in the U.S. With effect from the beginning of this week, we have introduced price adjustments to offset these cost increases. Secondly, the impact from a lower U.S. dollar exchange rate impacts our results for the full year. The U.S. market accounts for approximately 45% of the group's net sales and since the release of the 2025 financial outlook on 6th March, the U.S. dollar has depreciated by nearly 5% against the Danish kroner. This negative translation effect on reported figures will only be partly offset by the price adjustments we've introduced. And as a result, the group now expects reported net sales for 2025 to be in the range of DKK 9.1 billion to DKK 9.5 billion adjusted from the previous range of DKK 9.2 billion to DKK 9.7 billion. We have adjusted the upper end of the range more than the lower part of the range as the current market dynamics made it unlikely to meet the upper end of the range. The group's EBITDA margin will, as a result of the tariff related price adjustments, be negatively impacted by slightly more than 0.5 percentage point. To reflect this impact and to maintain full flexibility to protect our market shares and our business, the range for the full year EBITDA margin expectation has been widened and revised to a range of 18% to 22%. In other words, we see a significant increase in uncertainty for a large proportion of our business and we want to retain the flexibility to react to this without having to worry about a too narrow range for the EBITDA margin. Free cash flow is now projected at DKK 0.8 billion to DKK 1 billion and has been narrowed from the previous range of DKK 0.8 billion to DKK 1.8 billion. The adjustment to the upper end of the range reflects the lower EBITDA outlook while the unchanged lower end of the range underscores the group's commitment to preserving cash flow throughout the year. Adjusted earnings per share has been revised downward by DKK 1 to reflect the adjusted EBITDA expectation and is now expected in the range of DKK 10 to DKK 13 per share. Uncertainties to our base assumptions for the year remain higher than normal. These include volume and price developments for our core categories, cost inflation and supply chain stability. However, we remain committed to strengthening our platform, which is important for future growth although this may temporarily impact profit margins, cash flows and return on invested capital. Now please move 2 slides to Slide number 7. Overall, the first quarter of the year was soft and slightly below our expectations. Net sales in the first quarter is lower than in the remaining quarters of the year making the fluctuations in earnings high. Reported net sales was up by 1.3% driven by the acquisition of Mac Baren and continued strong growth for our nicotine pouch brand XQS whereas organic growth decreased by almost 9%. The discontinuation of the ZYN distribution in our U.S. online business explains about 3% of the organic decline whereas lower sales of handmade cigars and some phasing in our machine-rolled cigar business explains most of the rest. In a moment I'll talk a little more to the drivers behind these developments. The EBITDA margin decreased about 1 percentage point to 16.1% and was impacted by the lower sales of cigars and mix changes with more sales of nicotine pouches as the main reasons. Our continued investments in long-term growth opportunities, which includes our growth enablers and strengthening our market positions in the core categories, also affected margins. The free cash flow before acquisitions came in at almost DKK 300 million stronger than during the first quarter of the last year at DKK 156 million primarily driven by changes in working capital. I'll now give you an update on some of the progress we are making with our strategy rolling towards 2025. Please turn to Slide number 8. We continue to make good progress with our strategy. In addition to the comments I gave in relation to the full year results announcement in March, I can add that the integration of Mac Baren is moving ahead according to plan and we have taken significant steps in the United States where we have closed the acquired pipe tobacco factory and have consolidated all U.S. distribution in Bethlehem, Pennsylvania. Further, as part of our omnichannel offering, all acquired online sales channels have been migrated into 1 single streamlined website called Pipes and Cigars. Finally, we have reduced the geographic footprint for the nicotine pouch brands, Ace and Gritt, to reflect their lower priority in our portfolio. Overall, the integration is progressing well. We've not opened new retail stores in the quarter, but the retail channel continued to deliver strong double-digit net sales growth to our business, emphasizing the value of the investments we are making in this growth enabler. And thirdly, we remain committed to invest in our business whether in strengthening our nicotine pouch brands with launches into new markets or by investing in increasing and protecting our market shares within the core categories. Our work with updating our strategy beyond 2025 develops well and we still expect to announce the details during the fourth quarter. Now please turn 2 slides to Slide number 10. The market for handmade cigars in the U.S. remains challenged by negative consumer sentiment and down trading and the introduction of 10% import tariffs from our major cigar producing locations; in Nicaragua, the Dominican Republic and Honduras; have further increased uncertainties. Organic net sales for the category decreased by 9.1% during the first quarter. However, when differentiating between business-to-business developments and business-to-consumer developments, there are important differences. Our sales to wholesalers and distributors experienced double-digit decreases partly impacted by the timing of the large annual premium cigar trade show, which took place in April this year versus in the first quarter of last year. Sales was also partly impacted by bad weather conditions and increased caution in the trade given the currently weak consumer sentiment. April data indicates that part of the weak performance in the first quarter is phasing. Our online sales of handmade cigars were down about 5% and the sales of handmade cigars in our retail stores have delivered double-digit growth rates driven by new store opening and slightly positive like-for-like growth. We have implemented tariff related price increases earlier this week, but we still don't have the full overview of how other industry players will deal with the new tariffs. Therefore, it is important that we retain full flexibility to react to market and competitor developments and protect our market shares. We continue to see cautious consumer behavior and more down trading and we are also experiencing the need for higher promotional activity, which are putting pressure on the overall price/mix for handmade cigars. Please turn to Slide number 11. The total market for machine-rolled cigars in Europe in our key markets is estimated to have declined by 2.2% compared with a full year decline rate of 3.5% during 2024 and a 2.8% decline during the fourth quarter of last year. So although the quarter development could be a sign of more modest decline rate within the category, I must remind you that the first quarter is a small quarter so it remains uncertain whether this is only temporary or a sustainable improvement. We will be wiser during the next few quarters. The initiatives and investments we have made to recover market shares continue although the first quarter delivered a temporary setback to the improvement we have made over the past couple of quarters. Our market share index for the first quarter of 2025 declined to 26.9% compared to 28.1% in the fourth quarter and 27.9% for the full year 2024. Shipments were delayed as a result of the SAP implementation we executed during the quarter in our European factories. And in April, shipments have normalized and we are recovering market shares also into May. Smoking tobacco delivered a 44% increase in reported net sales mostly driven by the inclusion of Mac Baren, but also driven by a 7% organic growth reflecting a strong performance in particular for fine-cut tobacco. With this, now turn to Slide number 12. Moving on to Next Generation Products. During this first quarter, the category delivered an 18% decrease in reported net sales and a 43% decrease in organic net sales. Importantly, our global trial nicotine pouch brand XQS continues to impress with high double-digit growth rates up 41% driven by market share growth in Sweden, which now has improved to more than 11%, and the rollout in the U.K. and Denmark continues albeit at a lower pace. The reasons for the overall organic decline in net sales relates to the discontinuation of the ZYN distribution agreement in the U.S. and to streamlining the nicotine pouch portfolio we took over from Mac Baren where we reduced the geographic footprint for the brands Ace and Gritt. With this, I will now leave the word to Marianne for more details on the divisional performance. Please turn two slides to Slide number 14.
Marianne Rørslev Bock: Thank you, Niels. We will now turn the focus to look at the financial performance, which we report through the 3 commercial divisions. I will start the overview with Europe Branded. Reported net sales for the first quarter increased by 11% to DKK 687 million with organic net sales decreasing by 4%. The acquisition of Mac Baren impacted reported net sales by almost 15%. The main drivers for the development in organic growth are decreasing sales of machine-rolled cigars and handmade cigars, unchanged sales of smoking tobacco and a continued strong double-digit growth in Next Generation Products, in particular the XQS brand. As mentioned earlier in the call, the implementation of SAP in our European factories did impact shipments of machine-rolled cigars negatively in the quarter though we are back on track. EBITDA before special items decreased by DKK 17 million to DKK 66 million with an EBITDA margin of 9.6% compared with 13.8% in the same quarter of 2024. The first quarter is traditionally a small quarter for Europe Branded and minor changes to net sales impact the margin. The margin development is driven by changes in product mix with nicotine pouches outgrowing the core categories and continued investment in sales and marketing to regain our market position in machine-rolled cigars and to support our expansion within nicotine pouches. Please turn to Slide number 15. In the quarter, reported net sales for the commercial division North America Branded & Rest of the World decreased by 2% despite a positive contribution to net sales from the acquisition of Mac Baren of almost 10% and from exchange rate developments by more than 1%. As a result, organic net sales decreased by 13% in the quarter. The main drivers for the organic development were double-digit negative growth from handmade cigars to external wholesalers and distributors partly as a result of the move of the annual trade show from the first quarter last year to April this year, bad weather conditions and a temporary decline in sales of handmade cigars to our international markets. EBITDA before special items was unchanged with DKK 210 million with an EBITDA margin of 31.4% compared with 31.2% in the first quarter last year. The unchanged margin is a result of the negative impact from lower net sales of handmade cigars and machine-rolled cigars being offset by the net sales growth of higher margin product category smoking tobacco as well as by lower OpEx ratio. I'll now turn the attention to the financial performance in our North America Online & Retail division. Please turn to Slide number 16. Reported net sales for the first quarter decreased by 5% compared with 2024. The inclusion of Mac Baren impacted reported net sales positively by 2% and exchange rates by almost 3%. Excluding the impact from acquisitions and exchange rate, the organic growth was negative by 9.6%. The discontinuation of the ZYN online distribution impacts organic growth substantially. The impact was close to 8% in the first quarter implying underlying growth was negative close to 2%. The second quarter this year will be the final quarter being impacted by the discontinued ZYN distribution. In contrast to the double-digit decline in net sales to our business-to-business customer, the decline rate in net sales to our direct-to-consumer business, the online businesses is at 5% and to our consumers in our retail stores, we have achieved an unchanged same-store sales development. EBITDA before special items decreased by 9% with the EBITDA margin decreasing to 11.9% from 12.5% in the first quarter of 2024. The declining EBITDA margin reflects an increase in the OpEx ratio as a result of the scale impact from the discontinued ZYN distribution business. I will now move to an update on group financial performance. Please turn to Slide number 17. The 1.3% increase in reported net sales, which we delivered in the first quarter, was driven by an 8.5% contribution from the Mac Baren acquisition, a 1.6% positive impact from exchange rate development and an 8.8% negative organic net sales growth. The organic growth was impacted by about 3% from discontinued ZYN distribution agreement leaving a more like-for-like growth negative by close to 6%. In the updates by our categories and commercial divisions, we have talked to the key drivers for these developments and in summary, all 3 commercial divisions delivered negative organic growth in the quarter. In a moment, I will talk about the development in EBITDA and the margins. Special costs were DKK 70 million in the quarter relating to the SAP implementation, the integration of Mac Baren and reorganization, which includes costs for establishing a new service delivery organization. Net profit for the quarter declined to DKK 52 million while the adjusted earnings per share, which excludes special items, decreased by 20% to DKK 1.5 per share. The free cash flow before acquisitions was positive by DKK 156 million impacted by a positive contribution from working capital compared with a negative free cash flow in the first quarter of last year by DKK 126 million. Turn to Slide number 18, please. I will now comment on the development in the EBITDA margin. The EBITDA margin before special items was 16.1% compared to 17.2% in the same quarter of 2024. The EBITDA margin decrease of 1 percentage point compared to the first quarter of last year is driven by a combination of product and market mix, including nicotine pouches and investment in regaining market share in machine-rolled cigars in key European markets. Measured by divisions, the development was primarily driven by the lower margin in Europe Branded, which declined by 4.2% to 9.6%. The decrease in the margin in Europe Branded is mostly driven by mix and impact from lower volumes caused by the go-live of SAP implementation in our Belgium factories in the quarter and price decisions to improve market shares for 2025. The EBITDA margin in both North America Branded & Rest of the World and North America Online & Retail was almost unchanged versus last year. Now please turn 1 slide to Slide number 19. During the first quarter, the net interest-bearing debt decreased by DKK 0.2 billion to DKK 5.2 billion. The key driver for the development is the positive free cash flow generation for the quarter. As a result, the leverage ratio decreased by 2.5x compared to 2.6x at the end of 2024. We still expect leverage ratio to be above our leverage target of 2.5x by the end of 2025. By the end of the second quarter, the leverage will be impacted by the payment of dividend in April. This concludes our presentation for today's call. I will now hand the word back to the operator and we are ready to take any questions you may have.
Operator: [Operator Instructions] Our first question comes from the line of Damian McNeela from Deutsche Numis.
Damian McNeela : The first question is on U.S. handmade and thank you for the comments that you've made. But can you just clarify the quantum of the tariff that you're facing into? I think is it just the 10% or are there incremental tariffs from those countries where you're sourcing tobacco leaf? And then just if you can, provide some color on what level of pricing you've already taken in the marketplace and whether you've seen any competitive response? I think you sort of said you're still unsure about how the response is going to be. So first question. Second question is on U.S. retail. Can you provide some color on how the newer stores are performing in the overall portfolio and whether you're sort of changing your thinking about the strategic direction for the U.S. retail business? And then the last one is on ERP. I think Mariana, you said that you're now back on track in Europe. Is the SAP implementation now complete or are there some more countries that you need to sort of deploy it into?
Niels Frederiksen: I'll start with the U.S. handmade and the retail side. So the tariffs we are currently looking at is 10% across all 3 main sourcing units; Dominican, Honduras and Nicaragua. The initial announcement included an 18% import duty or tariff from Nicaragua, which was subsequently reduced to 10%. So right now we are assuming that the 10% is across all 3 countries, but we continue to have uncertainty on where each of the countries will end. We are not seeing other increases apart from what we see in general on our input cost for labor and tobacco and so on. So what we are taking into account for the pricing we are implementing now is the 10% tariff increase and we are responding with what is on average about a 5% price increase. But think about this across a portfolio that really ranges from quite inexpensive products to very expensive products where the tariff of course have a different impact. The dynamic that has been in the market so far is that about a handful, a little more, of smaller players announced price increases related to tariffs already around 1st of May. We went earlier this week as the largest of the players in the U.S. We've seen 1 competitor follow, but we still don't have a full overview of the remaining players. It is still our base hypothesis that we will see price increases across the range because this is a real and tangible additional cost for all players. If I move on to U.S. retail, we opened 3 new stores in the fourth quarter of 2024 and these stores are off to a good start, but it's still too early to kind of call them either at the higher end or on the lower end of our, let's say, store performance. But I think it's important to emphasize that overall we are quite pleased with our retail expansion. All stores are practically profitable from day 1 and they also quite quickly get to become margin enhancing for the group at the EBITDA level and deliver a good return on invested capital when they've been in operation for 3 to 4 years. So we are happy with that and we are not really changing our strategic direction. We are continuing with due consideration for capital investments needed and then we are continuing to work on optimizing both the stores that we have, but also the selection of new locations. And then maybe over to you, Marianne.
Marianne Rørslev Bock: Damian, thanks for the question. So let me start with the go-live that we did 1st of February this year. The go-live covered our full production of handmade or machine-rolled cigars in Europe so that means our factories in Belgium and Holland, sales companies in Holland and also part of Indonesia. It was a huge go-live and let me start by saying it went very well. The issues that we had for about 4 to 5 weeks was our ability to ship products fast enough because the process is new. We had some complications and also some learning of our people doing the shipping. After 4 to 5 weeks, we were back to delivering normal levels of shipments. We still have a few waves ahead of us. End of this year, we will implement in Sri Lanka and Indonesia and beginning of '26, we will implement in our Caribbean factories and also in '26, it is a plan to bring our online business onboard as the last one. So we still have a few more waves ahead of us and I can also mention here 1st of June and 1st of July, we'll go live with the remaining sales companies in Europe.
Operator: [Operator Instructions] Your next question comes from the line of Sebastian Grave from Nordea.
Sebastian Grave: So first on the guidance, to be fair it seems U.S. tariffs and FX are external factors and they explained much of the downgrade here yesterday. However, you also include a negative tail scenario with accelerated down trading and price pressure. My question is really what is your base case in terms of volumes here going forward for the U.S. market and have you in any meaningful way moderated these assumptions on the back of sort of this changed market environment? That would be my first question.
Niels Frederiksen: So thank you for the question. I think that, as you point out, there is external factors driving this downgrade and we of course have looked at various scenarios and some of these scenarios certainly include lower volumes on the U.S. side. I think that what we also are saying is that the wider EBITDA band on the guidance reflects both the increased uncertainty and this is not only consumer behavior, but also retail behavior and then our need for flexibility. So we have been the first major player to go out with price increases. We are confident that people will follow, but we also need the flexibility to make the decisions needed to support our market shares. When we look back over the past years, we have been too hesitant to defend market shares and going forward, this will be a key priority for us. So you can think about the scenarios and the band around EBITDA margin as not necessarily the most probable scenarios, but scenarios that we need the flexibility to execute on.
Marianne Rørslev Bock: And Sebastian, maybe I can add here. So you're asking about our base scenario. Our base scenario does include a higher decline of volumes in the handmade category from the U.S. and it is based on what we have seen so far, but also the surveys on consumer sentiment and the down trading we have seen. You can say what we are following is consumers' level of discretionary spending. We also follow KPIs as credit card debt to try to estimate how consumers will react, but it is very uncertain at the moment.
Sebastian Grave : Sure, I fully understand that. I'm just looking for -- because to my understanding, your base case assumption was also I mean in the original guidance that you saw accelerated volume declines in the U.S. I just want to try to understand the base case, you can say, delta from the original guidance to the new guidance. Have you sort of put in like extra decline from the original guidance or the base case still, I mean, the same in volumes?
Marianne Rørslev Bock: We have put an accelerated decline from the base case in March.
Sebastian Grave : Okay. Sure. And then my last question, Niels, you alluded to the pricing efforts here. I just want to try to understand a bit better the feedback loop around these efforts. So how fast are you really able to respond to this dynamic and changing consumer environment, also especially I mean thinking of price elasticity here in the short term, which is likely somewhat elevated from consumers. So how fast are you able to respond if you are to now pass on price increases if that means that you are losing market share, how fast are you able to sort of correct that and lower prices again if that is needed?
Niels Frederiksen: Yes. That's a good question. So let me start by saying that on the current portfolio, we of course have the ability to react quite quickly and also to see whether the initiatives are working. And I want to emphasize that it's not like we are price repositioning some of our brands, but we are having to promote more to support the volumes. But when you think about having to introduce new products or new brands in for example the more value for money segment, it does take time to develop these products and this is what we have been doing over a while and we are responding over the coming period also to, let's say, the increased demand in those segments. So some things we can do fast. Some things takes time simply because we need to ensure we have tobacco, we need to ensure we deliver quality products and so on. Then you can say that a price increase that we implement for the business-to-business side takes effect immediately. So when we raised prices earlier this week, the purchase price is higher for retailers. How retailers end up passing this on to consumers is their personal choice and we do not control that. We do think in most cases that they will pass it on, but not all do that. And the area which is more difficult for us to control is online where again, we pass on price increases to online customers, but online customers can decide to bring that on to consumers slowly because they're already carrying some inventory they bought at a lower price. And hence, you can say when you think about the online channel, it's more of a sliding price increase that hits consumers depending on the strategy of the individual online customers. Does it make sense?
Sebastian Grave : No, it makes great sense. And maybe just last follow-up. Could you maybe, Niels, talk a bit around your visibility on what other companies are doing here in the B2B channels? So what prices are they quoting to the distributors, et cetera?
Niels Frederiksen: So the visibility is high, but in the sense that these, let's say, price increases are being published. But the timing or the decisions being made in the different companies is of course not something we understand and this is where we end up in a scenario where some larger competitors are postponing price increases. That's a scenario we then need to decide what we do to counter that.
Operator: [Operator Instructions] We will take our next phone question from the line of Damian McNeela from Deutsche Numis.
Damian McNeela : I just got a follow-up question on your SAP strategy. I was just wondering if you could provide a little bit more color on why XQS growth or your rollout of XQS has sort of slowed down a little bit? And can you provide some more detail on where you've streamlined the Ace and Gritt brands as well, please?
Niels Frederiksen: Yes. So let me start by saying that when you look at the nicotine pouch category, almost all companies are putting their efforts behind 1 brand globally so this can be a ZYN from Philip Morris, a Velo from BAT and for us that brand is XQS. Now with the acquisition of Mac Baren, we acquired 2 other brands, Ace and Gritt, and when we looked at the, let's say, geographic footprint or the markets where this was selling; it was selling in way more markets and way more distributors that we were not familiar with than we thought would be right. So we have basically scaled down and concentrated our efforts on Ace and Gritt around a few markets where they have a good performance or they at least have a reasonable market position. Everywhere else, we support XQS. And if you look at why are we successful with XQS in Sweden, you can say that XQS has a very strong position in what we call the more flavored side of the nicotine pouches. Now all nicotine pouches are flavored and the largest segment is mint and menthol and then there's a large market in flavors as well. But in particular in Sweden with more than 11%, we are actually already the market leader in the flavor side of the segment and we are concentrating on building a portfolio on the mint and menthol side. So these are the dynamics on the pouch side. A lot of the movements on organic net sales here is about decisions we have taken to support XQS and you should see quarter-on-quarter that XQS hopefully continues to grow and I would focus on that rather than I would focus on what happens to, let's say, the portfolio for a while because we will have ZYN affecting numbers until end of second quarter and we will have Ace and Gritt numbers affecting the full 2024.
Damian McNeela : Okay. Is there scope to move XQS into some of those markets where Ace and Gritt are already present to try and sort of have a 1 brand strategy or is that not an option at the minute?
Niels Frederiksen: They're doing that as well. So we are looking at the markets where Ace and Gritt is doing well and we are deciding market by market whether we are better off trying to migrate customers to XQS or whether Ace and Gritt have good traction and should be supported.
Operator: Thank you. There seems to be no further audio questions. I will hand back for the webcast questions.
Torben Sand : Yes. And we do have 1 question, which I will read out here. And that's regarding the market share trend in Europe Branded and more specifically machine-rolled cigars. Over time, STG loses market share in its main European markets for mass market cigars and quite consistently and in prior quarters, this was addressed as being in part due to price adjustments not being followed by competitors. This quarter saw another loss of market share, this time attributed to the implementation of a new information system. Back in 2016 to '17, market share in the 5 main European markets stood around 33% to 34%. Now it's down to 27% and that even includes acquisitions like Agio. What are your views on the possibility of a more fundamental problem regarding the company's competitiveness in Europe machine-rolled markets?
Niels Frederiksen: Thank you for the question. I think that the starting point to understand is that we have a declining machine-rolled cigar market in Europe and we've had so for many years. But there are parts of the machine-rolled cigar segment, which is developing positively or at least less negatively than the total market and this is for example the flavored and the flavored filter segment. And the relative strength of STG in those segments are less. We have our strength in the traditional where we are by far the market leader, which means that just the underlying segment development is putting pressure on our market share. So that's 1 important thing to understand. And when you look at the development over the past 5 years, you're absolutely correct in pointing out that we have lost market share and that we have a competitiveness issue in Europe. Now some of the competitiveness issue we have created ourselves because when we merged the various factories around the Agio transaction, we ended up in a situation where we were struggling to supply the market adequately. That cost us some market share. Subsequently, some of our competitors took way less pricing than we did and that also cost us some market share. And now we have kind of drawn a line in the sand and we actually assessed the situation as if we stabilize the market shares in Europe. We did that towards the end of 2024. Going into 2025, you're right that our first quarter market share is not strong; but when we look at the recovery in April and into May, they support that we do have a stabilization of market shares in Europe. And when you look at the updated strategy we are working on, this is one of the key questions we are asking ourselves, what is it we need to be doing better and differently to protect those market shares in Europe because they are very important for us as a company.
Torben Sand : And I think that basically answers the questions also from the webcast.
Operator: And there are no further questions from the audio.
Torben Sand : Okay. Thank you. That then basically leaves only for us to say thank you very much for your interest and participation in this webcast and we wish you all a continued good day. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.